Operator: Good afternoon. My name is Pam and I will be your conference operator today. At this time, I would like to welcome everyone to the Nanalysis’ Fourth Quarter and Full Year 2021 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. I would now like to turn the conference over to Mr. Matthew Selinger, Investor Relations. Please go ahead.
Matthew Selinger: Thank you, operator. And welcome, everyone, to Nanalysis Scientifics fourth quarter and full year 2021 conference call. Before we begin, I would like to remind everyone that remarks and responses to your questions today will contain forward-looking statements that are based on the current expectations of management. These assumptions involve inherent risks and uncertainties that could cause actual results to differ materially from our responses. Certain material factors and assumptions were considered and applied in making of the forward-looking statements. These risk factors are included in our filings, the year ended December 31, 2021. Forward-looking statements on this call may include, but are not limited to statements and comments with respect to future growth of the Company’s business, the ability to graduate to a senior exchange, the Company’s acquisition strategy, the ability to develop future products and the possible associated results. The company’s actual performance and financial results in the future could differ materially from any estimates or projections of future performance implied by the forward-looking statements. The forward-looking statements made on this call speak only as of today and Nanalysis Scientific assumes no obligation to update any such forward-looking information as a result of new information, future events or otherwise, except as expressly required by applicable law. For additional information, I do encourage everyone to review our public filings and press releases, which are posted on the SEDAR filing system www.sedar.com. So, on the call with me today, are Nanalysis Founder and CEO, Mr. Sean Krakiwsky; and Nanalysis CFO, Mr. Luke Caplette. So, with that, I would like to turn the call over to the Nanalysis’ CFO, Mr. Luke Caplette. Luke?
Luke Caplette: Thank you, Matthew. And thanks, everyone, for joining the call. I am happy to report for the three months ended December 31, 2021, Nanalysis reported consolidated revenue of $5.1 million, an 89% increase from the $2.7 million, recognized for the comparable period December 31, 2020. This increase in revenue is due to RS2D completion of milestones, specifically worked on the OEM contract sign with Quad Systems, coupled with increased shipments of Nanalysis’ new flagship product, the 100MHz. Gross margin was 61% for the three months ended December 31, 2021 as compared to 65% for the three months ended December 31, 2020. We are seeing inflationary pressure hitting our inputs. We are very cognizant and watching our inputs very closely. Management will continue to adjust pricing of our products where possible to circumvent increasing costs. Income from other items for the three months end December 31, 2021 was $413,000, an improvement of $1.1 million compared to the same period last year. Net loss for the three months ended December 31, 2021 was $658,000, representing an improvement of $567,000 from the comparable period in 2020. Moving on to results for the 12 months ended December 31, 2021. For the 12 months ended December 31, 2021, the Company reported consolidated revenue of $16 million, an increase of $8.2 million or 104% for the comparative period in 2020. The increase in revenue is due to the completion of those aforementioned RS2D contract milestones and the shipment of Nanalysis’ flagship product -- new flagship product, the 100MHz. As of December 31, 2021, Nanalysis had $3.5 million of backlog associated with our 100MHz of which $679,000 has been prepaid by customers and is recorded in unearned revenue on the balance sheet. During the year the Company doubled its manufacturing facility. The additional manufacturing capacity will allow for increased production and quicker fulfillment of 100MHz backlog in 2022. Gross profit for the 12 months ended December 31, 2021, was $10.2 million, representing a gross margin of 63% as compared to -- 64% -- my apologies, as compared to gross profit of $5.2 million and a margin of 66% for the 12 months ended December 31, 2020. The Company’s net loss for the 12 months ended December 31, 2021, was $1.8 million, as compared to a loss of $3.7 million for the comparable period of 2020. The Company had cash on hand of $10.4 million and undrawn credit facility of $2 million and working capital of $12.1 million as of December 31, 2021. On February 11, 2022, the Company closed a best efforts marketed public offering common shares of the Company, including the full exercise of the overallotment option and non-brokered private placement of common shares for combined gross proceeds of $15.2 million. Pursuant to the terms of the public offering and non-brokered private placement, the Company issued approximately 13.8 million common shares. Additionally, the Company announced a $5 million funding contribution commitment from the Canadian government. The funding is provided through Prairies Economic Development Canada’s Business Scale-up and Productivity program, which provides fast-growing tech firms with support to scale up and enter new markets. Nanalysis will draw on these funds over the next three years, with interest repayments commencing on September 1, 2025. This funding enables us to offset some of the capital that was already used for our manufacturing expansion and provides future capital to continue to expand operations. The Company monitors its financing requirements through regular forecasting of its cash position. Financing decisions are based on the timing and extent of expected operating and capital cash outlays. The Company will always adjust its capital structure to attempt to maximize shareholder returns. I would like to thank all of our investors for their continued support over the last year. We’re very proud of what the team has accomplished, and we’re looking forward to a great 2022. With that, now, I’d like to turn the call over to our founder and CEO, Sean Krakiwsky. Sean?
Sean Krakiwsky: Thank you very much, Luke. 2021 was indeed a fantastic year for Nanalysis Scientific, and I would say, represents the full transition of our organization from essentially a single product company to a true multi-product, multiservice global organization. Though I founded Nanalysis 12 years ago and it has been an absolutely fabulous journey, but as great as the last decade has been, I believe our next decade will be even better. Our team is highly energized, and we feel like we’re just getting started. Our mission is to miniaturize and democratize magnetic resonance for healthcare and industrial application. And our vision is to one day disrupt the MRI space for human medical imaging and make it work the way it should work, as part of the next generation personalized prevention centric healthcare system. Our strategy to achieve this vision in addition to the product innovation required is to position our company as a full blown operating entity with quite a bit of heft to it and an ability to bid on very large contracts, without being told by large industry and government customers, things like you have a great technology but you’re not big enough, you’re not a reliable supplier and so on. Therefore, we have an aggressive growth plan to build a vertically integrated global scientific instrumentation company that has an extended family of products and operations that constitute not only world-class manufacturing, but also channel management, direct sales and service in every major market in the world. What we’ve done in the past year is create the foundation upon which we will achieve solid growth and deliver excellent shareholder value for the next decade. In 2021, our 100% year-over-year revenue growth has been fueled largely by our flagship products, the 60MHz and 100MHz benchtop NMR instruments. From our order flow that I see and backlog, we do not see this leveling out, nor slowing down. In fact, we’re pursuing expansion in our current markets and targeting new ones, for example, enabled by the enhanced reach that the K’Prime acquisition has given our business, including opening up the security market vertical. We have had an aggressive M&A strategy, which is a key component to our growth objectives. But I have stated publicly that we have paused M&A activity for the time being as we digest and incorporate our most recent acquisitions. I do expect M&A to resume in 2023 and especially when we look to move into an FDA approved product for the human MRI space. In the summer of 2021, we closed the acquisition of One Moon Scientific, a U.S.-based magnetic resonance software company. When I founded Nanalysis 12 years ago, I thought of us as a pure hardware play from an IP perspective and a product perspective. However, today, like with many successful hardware companies, we are more and more aware of the importance of software for our platform going forward. I can envision that in five years from now, for example, we’ll have more software people than we do hardware people. And applications, AI, big data, and the cloud will be critical for ongoing growth. In addition to the One Moon Scientific acquisition, we also acquired K’(Prime) Technologies. And I am proud to confirm that K’Prime is fully integrated. For example, K’Prime’s VP of Sales, Mr. Sime Buric is our company-wide VP of Sales now, and he’s bringing to bear his tremendous experience and leadership skills to Nanalysis in the area of professional sales management and winning large service contracts. K’Prime adds roughly 45 sales and service people to our organization immediately in Canada and the United States. Also, from this acquisition, we now have a physical presence in Phoenix, Arizona, and we’re expanding in the United States, which is our most geographic -- important geographic market in the world. As I’ve alluded to a couple of times now, K’Prime brings a new dimension to our business model in the form of service oriented recurring revenue. The combined companies can now bid on very large service contracts that we didn’t really have access to in the past. And I expect there to be some significant news in this regard in the not too distant future. So, I’m very enthusiastic about this acquisition, both in terms of the massive growth potential it brings, and also to an important characteristic that K’Prime adds to our organizational DNA, that of profitability and focus on the needs of the customer. Recently, we also announced the two phased acquisition of a company based in Zurich, Switzerland called Quad Systems. We have closed on the first phase, which gives us 43% ownership of the company, and we hold an exclusive option to acquire the remaining 57% of the company until July 2023, at a predetermined price, the majority of which will be paid for in Nanalysis stock. Nanalysis maintains two Board seats on the Board of Directors of Quad Systems. And the synergy with that company include technology platform, cross-selling, manufacturing, marketing, and several others. In January, we announced the addition of a new investor and Board of Director for Nanalysis, René Lenggenhager, who has extensive experience leading global industrial tech giants such as Mettler-Toledo and Bruker BioSpin. René, also based in Zurich, Switzerland, is an integral part of our growth strategy associated with Quad Systems. We have been working with Quad Systems since 2020, where we signed an OEM deal to sell our magnetic resonance electronics console and software to them as part of their new high-field NMR product offering. This high-field product line allows us to adjacently extend our family of products, the Quad product line targets higher end applications in the NMR market, including the analysis of human blood and urine, as well as mix . The price range for the products is between $500,000 and $2 million as compared to the price range for our benchtop NMR products, which is roughly $50,000 to $150,000. The cross-selling opportunities and vertical markets such as big pharma, food, energy, advanced materials, security, as well as universities and government labs are tremendous. I just returned from a trip to Europe, working with the Quad Systems team where we have had roughly 10 people embedded with their people for over a year. Things are going well. And we have started to sell modules of the high-field product. And so, there indeed is revenue generation going on currently. We expect the full offering to be available by the middle of the year. And I expect to update shareholders on this progress in the coming quarters. I’m very thankful to all our shareholders, both new and old. Angel investors from 12 years ago are still very connected and active with our company. And we have welcomed many new large institutional investors in the past year or so. Loyalty from preexisting shareholders and interest from new shareholders alike have allowed us to raise over $25 million in the last 12 months, which strengthens our balance sheet and fuels our growth by letting us focus on running and executing the business. Finally, I would like to thank our employees, customers, partners, and other stakeholders. We have an incredible growing team at Nanalysis and have really created something that we believe is very special and dynamic with massive potential. As I often say, one of the things that I’m most proud about at Nanalysis is the fact that the original group of scientists and engineers that I put together over 10 years ago are still with the Company. And along with the fabulously talented other people we’ve assembled over time, we are uncompromisingly executing on our mission and driving towards our vision. From my perspective in particular, we have a unique opportunity to change the course of magnetic resonance history and make a significant contribution to society as we move towards this exciting vision. So, in closing, as good of a year as 2021 was for Nanalysis, I believe that 2022 will be better, and that the momentum will continue for many years to come. Operator, I would now like to open up the call for questions.
Operator:  Your first question comes from Yue Ma with Research Capital Corporation. Please go ahead.
Yue Ma: Hey, Sean and Luke. Thanks for taking my questions. Congrats on the good quarter. Just a few questions here. So, first, I was wondering if you could provide any color on the accounting treatment to the Quad Systems.
Luke Caplette: Yes. So, we did, on the last call, say we -- shed some light on the accounting treatment. Unfortunately, we still are in negotiations -- or discussions with our auditors. We think we have it locked down, but just at this point in time, we are not in a point or a space where we want to confirm a 100% what that treatment will be.
Yue Ma: Okay. The second question is about manufacturing. So, we know that the Company has been ramping up the manufacturing capacity. So, I was wondering if you could comment on the lead time between receiving sales order and the shipping for the 100MHz. And also, can you please also talk about how the current lead time is compared to last several quarters?
Sean Krakiwsky: Yes. Thank you very much, Toby, for that question. So, this is Sean, the CEO. So, we are still in the -- the lead times from when we receive an order to fulfillment is still in the two to three months range, and we are still working very hard to reduce that down to what it is for the 60 MHz product, which is in the sort of range of two to three weeks, and which is our objective for the 100MHz product. We intend to get there. We are sort of on a month to month basis with that initiative. Now, things are going well. I expect it to be there by midyear.
Yue Ma: Okay, midyear. Okay, perfect. The third question is, you talk about the global inflation. And so, in terms of the -- so, the Company reported a 61% gross margin for the hardware -- for those hardware equipment. So, I was wondering -- so would you expect that margin to stay relatively flat for this year or potentially decline to some extent, given the persistent inflation?
Luke Caplette: Yes. I’ll take that one there, Sean. So, with respect to the Q1 margin, you are going to see it changing a little bit, obviously from kind of two catalysts, one being K’Prime. So, we’ll see exactly how that’s going to impact our gross margin, as well as the treatment of Quad, if it becomes consolidated. That will also be an impact to what those levels look like. Speaking now, just specifically to RS2D and Nanalysis, our base business from 2021, we did see a bit of compression in the fourth quarter. And we will probably see, I think 60%, 61% is going to be consistent while we chew through some of this backlog that’s still existing. So, we didn’t have the opportunity to increase prices on previously sold units. Now, we have that opportunity obviously, and we’re watching very closely all the inputs to make sure we are not compressing margins at all. But while we fulfill some of those previous existing orders, we are seeing a bit of compression, like you see from 64% kind of year-to-date to this 61% number.
Yue Ma: Okay, perfect. Just one last question. Can you briefly talk about, how the Company is promoting the benchtop NMRs in the global market? That’s all the questions I have. Thank you.
Sean Krakiwsky: Yes. So, from a sales organization perspective, we sell direct in the United States and Canada, and also in Germany, France and Switzerland. And then, in markets like India, Japan and so on, we sell to a network of 45 dealers around the world. Through the K’Prime acquisition, we are expanding our direct sales organization significantly. We find direct sales works very well for us. And so, that’s sort of a -- that theme is part of our ongoing strategy. Right now, it’s mostly about the United States and Europe but we’re going to take that further as well. And in the near future with some news around large service oriented contracts, I think I’ll sort of expand on how we see sales of our product and service activity as being synergistic together, and how in some markets, in some cases, we’re going to lead with sales and in other cases, we’ll stick to our historical leading with -- I meant to say leading with service. And in other cases, we’ll sort of lead with product sales, but -- and then over time, we’ll sort of blend the two. We do -- we are resuming physical conferences, which was a big aspect of our promotion of our products before the pandemic. I was just at a conference in Orlando, for example, and it was quite well attended. And customer interest and demand was excellent. We had a joint booth with Nanalysis proper, and also with Quad Systems. So, we’re hoping that there’s a pattern there and that the physical conferences continue, and that we can get back into aggressively promoting with physical conferences, which was a great source of leads for our pipeline, which is indeed strong. But most of that sales pipeline currently comes from digital marketing that has been ramped up quite a bit through the pandemic.
Operator: Your next question comes from Stefan Quenneville with Echelon Capital. Please go ahead.
Stefan Quenneville: I guess, my first question, since Q4 was quite a while ago now, do you have any color on Q1? It’s already -- sort of we’re already halfway to Q2 here. Just qualitatively, how are things going? And maybe just talk about the sort of sales momentum starting the year.
Sean Krakiwsky: Yes. I’ll comment on that. And Luke, please feel free to complement it. So, we’ve been stating publicly that we’re on a trajectory of 100% year-over-year growth. We’re still on that trajectory. We’re confident in the numbers we’ve stated. And so, Q1 was a solid quarter. And it doesn’t change any of the things that, Stefan, you and I have talked about, or that I’ve been stating publicly. So that’s, I think, we’re not going to give any numbers right now. We’ll report our Q1 results coming up here before the end of May. But yes, Q1 was a solid quarter for our company.
Stefan Quenneville: On your Q4 numbers, though, I noticed there was a real pop in sales in Asia. Is that just sort of a lumpy order, or is something more meaningful going on there?
Luke Caplette: That is our -- nothing really, I guess to point out or highlight. We just kind of see some ebbs and flows kind of through the Asian market. And for this particular quarter, it was quite strong. But it’s just a demand thing from Asia for the quarter. It wasn’t anything significant to highlight.
Sean Krakiwsky: So that sort of is related to the answer of my previous statement about international markets, right? So, we have these dealers around the world, and they have their own sales pipeline. And occasionally, a quarter will show up really well from some parts of Asia. Other times, it’ll come in from Latin America. And we’d like to make that more consistent. And that’s sort of probably an area for improvement for our business, and managing more closely and being more active in these international markets going forward.
Luke Caplette: I might add a bit more color to that, too. Just one other thing is there. I think, it was roughly two years ago, I think we brought in an individual to actively manage the large distribution network that we have around the world. And she’s gotten a fantastic handle on it over the last couple years and has built some really strong relationships. So, we are starting to see, as you can kind of tell -- even just specifically on Asia here, we are starting to see some dividends from her efforts and her hard work.
Stefan Quenneville: And then just in terms of your combinations, you were very busy last few months, integrating these different businesses. Has there been any meaningful turnover at any of the sort of acquisitions that you’ve done?
Sean Krakiwsky: No. Turnover in general at our company has been one of the highlights. We’ve had very low turnover, and that has remained the same for the acquisitions that we’ve done. If anything, it refreshes and reenergizes the people that are in the acquisition, they’re part of a larger organization with more potential, we give them stock options. And so no issues with turnover at all.
Stefan Quenneville: Okay. And my last one is kind of more bigger picture. In terms of your verticals, different industrial verticals, partnerships, any updates there on progress or how are those going qualitatively or whatever you can share on that?
Sean Krakiwsky: Yes. I guess -- so, they’re all alive and the relationships are strong, the pandemic did dampen the activity, for sure. And we’re still sort of recovering from that. But, yes, the relationships are strong. I don’t really have any sort of material items to mention, one way or the other on that. And it’s something that we’re still focused on in an important way.
Operator:  Your next question comes from . Please go ahead.
Unidentified Analyst: I guess, we’re not getting a lot of new information relative to the call a couple weeks ago. But if I remember that call, you guys talked about shipping out 1,300 megahertz of products in Q4, and I said 31 on back order. And so, you guys just said that you’ve got 30 units in backlog for which you’ve received advanced payments on. Is that right?
Luke Caplette: No, I would -- sorry. I would clarify and just say backlog and backorder are the -- considered same thing. We had at December 31st, roughly $700,000 of prepayment towards those 100MHz. 
Unidentified Analyst: Right. Okay. So -- but you guys were shipping 13. So I mean, what is that like? You’ve got two quarters of units already basically paid for which, I mean, I guess that would include Q1.
Luke Caplette: Yes. Depending on the number of shipments that we get out of the 100MHz over the next couple quarters here, yes, we have a pretty strong backlog there to fill over the next few months.
Unidentified Analyst: Right. And just remind me, like what were you guys trying to get to in terms of like your monthly or quarterly capacity of 100MHz units you guys can assemble and move out?
Sean Krakiwsky: Our objective for this calendar year is to get to 10 units a month capability. We’re not there yet. But as I alluded to in a slightly different way before, it’s our objective to get there by midyear. So, that would make up 30 units per quarter.
Unidentified Analyst: Okay. And then, I guess, pricing’s the same. So, I can figure out what that means. And then, when you guys get the K’Prime in there, so what’s the plan on disclosure then? Is it just going to be like products and services to revenue lines to cost of sales lines or what are your thoughts around that?
Luke Caplette: Yes. So, we’re still kind of looking at the best format, whether we just have it as its own kind of segment. K’Prime is a unique business because they kind of have the security side, they have the sales and distribution side, and they have a leasing component to it too. So, at this point, we’re actually still kind of working through the financials kind of -- so what’s going to be most relevant to shareholders. Because we do want to highlight the leasing division and we do want to highlight the distribution piece. We want to highlight the services and security with service. So, there’ll probably be a component of all three that gets highlighted, if not specifically in the actual face of the financial statement, see it throughout the MD&A.
Unidentified Analyst: And what is the leasing component then? And can you guys -- or would you guys think about, or it might mess with revenues but leasing the 100MHz units or how does that work exactly on their end? 
Luke Caplette : Yes. Most of these are actually sales leases. So, you still recognize the revenue on it. And we absolutely will adopt that at Nanalysis. So, a lot of our customers right now they have the cash, they have the capital budget, they like to pay up front, but we are rolling out and we are providing that service, if they don’t want to pay a 100% upfront, we will provide them a sales lease or in certain instances and operating lease depending, if you’re looking at the IFRS criteria where it kind of shakes out. But absolutely that’s going to be a big catalyst, and we’re excited to offer that to future customers.
Unidentified Analyst: Okay. And can you guys give me a sense just for other stuff I look at around, like where are you guys seeing the strengths right now? Is it food and beverage? Is it university research? Is it pharma? Where are you guys seeing the ins and outs of the market or the economy from your end by sort -- could you guys sort of hit more end markets than you would think generally, but you do?
Sean Krakiwsky: Yes. That’s true. And one reason for that is, because of the nature of magnetic resonance, it’s sort of intrinsically general purpose and kind of a platform-oriented product. That’s the way customers view it. Of course, our plan is to verticalize it more with value-added software, but that is true. And then, we see strength in pharma. We are seeing strength in -- we do see strength in university research. And now with the K’Prime acquisition in terms of revenue, we are seeing tremendous strength in the security market. So security market would include things like the scientific equipment and detection equipment that’s at border crossings, airports, prison, detention facilities, and things like that.
Unidentified Analyst: Okay. And then, I guess, my last question, we always talk about that this is a fairly early stage market for benchmark NMR. Obviously, there is a lot of white space, there is a lot of potential there. But one of the things we talked about is that, there are potential customers out there who could order 5 or 10 or 15 or 20 units. There are large potential customers in this area. At this point, are you seeing -- are you starting to see or get inquiries about like, we need three units or we need four units, or there’s still largely ones and twos from your customer base?
Sean Krakiwsky: We are seeing a transition into three to five units. And we are working really hard to turn that into opportunities that are for dozens of units or hundreds of units. And that’s sort of part of our vertical market application strategy.
Unidentified Analyst: Okay. All right. That sounds good. Thanks guys.
Sean Krakiwsky: Thanks very much, Brandon. Have a nice afternoon and evening.
Operator: Your next question comes from Neal Fegan  and he is a shareholder. Please go ahead.
Unidentified Analyst: Hey, guys. Thanks for taking my questions.
Sean Krakiwsky: Our pleasure. Great to hear from you, Neal.
Unidentified Analyst : Yes. It’s actually been a while. You are doing things quite well, so no need to bug you. Listen, my main question on the 100MHz was answered in the previous Q&A. But I was curious, is the reason that we are not producing 10, 100MHz per month currently. Is it mainly component issues or people issues or no issue at all? It’s just not part of your plan to scale to that level for another three or four months?
Sean Krakiwsky: I would say, it’s a little bit more in sort of the last camp that you mentioned. And I would expand on that by saying that, 100MHz is a very important part of our business. But we have other important parts of our business as well that require manufacturing activity. And so, we are increasing other parts of our Company’s as well, all within manufacturing, so there is tradeoffs there.
Unidentified Analyst: Okay. And then, my last question is, I believe that you qualify for the listing requirements of the Toronto Stock Exchange. I would think that moving from the Vancouver to the Toronto would allow more institutional and fund involvement on both sides of the border. Should we expect to see that -- excuse me, should we expect to see you make that move by the end of the year or are there reasons that you’re not pursuing that currently?
Sean Krakiwsky: You won’t see that by the end of the year. But, it is something that we’re actually actively in discussions about at the management level and Board level. It’s a very important topic for us. It is our plan to be on a major exchange. And it’s not going to happen this year. I would say, there’s a good chance that it’s going to happen next year, as much as sort of liquidity and getting more support from institutional investors is important to us. Some of the things that we’re doing on the M&A side and with future MRI products are, I would say, more important to us. So, we’re sort of focused in on the reasons associated with those to go to a major exchange. But I believe very strongly we will be on a major exchange, but I would say it’s not something that’s imminent. And I don’t really want to comment at this time about what major exchange it will be. There’s pros and cons to the different ones. But right now, I’m not focused in on exchanges. What I’m focused in on is making the tremendous value that we’ve created for shareholders manifested in our stock price. And so, I think we can do that, where we’re currently trading. But we will talk more about that going forward. Just right now, that’s all I have to say.
Luke Caplette: I’ll just add one more thing to that is, the reason that we haven’t also uplisted to the TSX right away is there is a -- there’s an advantage being a TSXV company with our acquisition strategy. The way they measure kind of like a significant acquisition is different on the TSX versus the TSXV. So, we are actually able to avoid some additional costs and regulatory requirements that would have come about with our aggressive acquisition strategy. So, there was -- earlier on in the year that was a huge area of consideration of why we hadn’t uplisted previously.
Unidentified Analyst: Okay. Well, that makes sense. And speaking only of Toronto, we do actually meet the listing requirements today. Is that correct? I understand that that’s not a -- that there’s reasons you don’t want to go there yet, but technically, do we meet those listing requirements without having any deficiencies in terms of market cap or share price or anything else?
Sean Krakiwsky: Yes, we do.
Unidentified Analyst: Okay, great. All right, guys. I appreciate the time. That’s nice to hear. And obviously, you’ll make the move when you think it’s most appropriate.
Sean Krakiwsky: Thanks very much, Neal. It was a pleasure speaking with you again.
Operator: There are no further questions at this time. Please proceed.
Sean Krakiwsky: Okay. Well, thank you very much to everyone who took the time to join our call this evening in the east and this afternoon in other parts of the country. And maybe there’s even some people from Europe who’ve stayed up late to spend some time with us. I know we have a fabulous contingent of investors over in Europe. It’s been a pleasure. And I look forward to the next opportunity to speak with all investors. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a great day.